Operator: Greetings, and welcome to the Fourth Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Doug Cheatham. Thank you. You may begin.
J. Douglas Cheatham: Thank you. Good morning, everyone, and thank you for joining us. I will start with a reminder that our comments today may contain forward-looking statements, which are based on management’s existing expectations in the current economic environment. These statements are not a guarantee of future performance and results may differ materially from those projected. I ask you to refer to our SEC filings for a full discussion of the company’s risk factors. And now I’ll turn it over to our President and CEO, Jim Eccher to get things started.
James L. Eccher: Good morning and thank you for joining us today. The fourth quarter was a good one for the company on many levels. I’ll start by giving you my view of the quarter, and Doug will follow with a more detailed report on the financial statements, and then I will open up for questions. Operating performance in the fourth quarter showed good improvement on many fronts. While our core earnings are still in recovery mode, we were able to make positive strides in loan growth, net interest income, and credit quality. Reported fourth quarter net income available to stockholders is 1.9 million or $0.06 per diluted share. For year-to-date 2014, net income available to common was 11.9 million or $0.46 per diluted share. Moving on to our key business lines, we had a 1.6% increase in total loans over the prior quarter and finished the year up 5.3% from 2013. C&I loans was a positive story in the quarter. They increased slightly over 10%, and most of that was on the strength of new business and higher line utilization. Our wealth management and trust group had a 6.5% increase in income for the quarter but was relatively flat year-over-year. Performance was in line with our expectations for the year, and we’re encouraged with our pipeline in this division. Our real estate mortgage banking unit remains profitable and generated 1.1 million in revenue in the quarter, and while this was $240,000 lower from the third quarter and year-to-date results were well off 2013 levels. It does remain an important part of our business, and we’re optimistic heading into 2015 that we’ll have better results in this division. Turning to the balance sheet, asset quality improved significantly in the fourth quarter as nonperforming assets, nonaccrual loans, and OREO all declined in the quarter. Classified assets resumed their downward trend and declined 18% in the quarter, which included a sharp reduction in OREO. More importantly, outflow exceeded inflow in both nonperforming loans and OREO categories. Net charge-offs were very modest in the quarter, although OREO costs were somewhat higher as we took some write-downs on legacy OREO assets. Overall, it was our most successful quarter as far as classified asset remediation, and while there’s more work to do, we feel classified assets are at manageable levels. Lastly, on January 2, we announced that we will be redeeming one-third of our remaining $47.3 million of preferred stock that was issued under the TARP program. We will be redeeming these at par at the end of January, which will leave us 31,533 shares outstanding. Doug will now give you more insight on fourth quarter performance, and then we’ll open it up to questions.
J. Douglas Cheatham: Thanks, Jim. Jim mentioned the earnings for the quarter and year. In 2013, we recovered nearly all of the valuation allowance on the deferred tax assets, so using income before income taxes for comparative purposes, that metric increased from 11.8 million in 2013 to 15.9 million in 2014, an increase of about 35%. We’ve released 1.3 million of the loan loss reserve in the fourth quarter bringing the 2014 total to 3.3 million, and this compares to releases totaling 8.55 million in 2013. Net interest income was 15.1 million in the fourth quarter of 2014 compared to 13.7 million in the fourth quarter of 2013. The net interest margin was 3.19% in 2014 and 3.35% in the fourth quarter. This compares to 3.16% in 2013 and 3.13% in the fourth quarter of 2013. Several things contributed to this improvement. In comparing the fourth quarter of 2014 to the fourth quarter of 2013, the average yield on earning assets remained unchanged at 3.83%. The average amount of interest-bearing assets increased by 59 million to 1.8 billion. The average cost of interest-bearing liabilities declined by 24 basis points, while the average amount of interest-bearing liabilities declined by 9.4 million while noninterest bearing deposits increased by 27 million, so changes in mix on both sides of the balance sheet as well as spreads helped to increase net interest revenue. And with loans now growing at a good rate, this is moving in the right direction. Setting aside securities gains and losses, year-over-year noninterest income was down in both the quarter and the full year. The largest decline was in mortgage banking income, which was down 1.9 million in the fourth quarter of 2014 compared to the fourth quarter of 2013 and was down 4.4 million for the full year. At this point in the interest cycle, refinances are not nearly what they were over the last couple of years, and the real estate market while improved has not made up the difference. Noninterest expenses were 18.9 million in the fourth quarter of 2014 compared to 20.1 million in the fourth quarter of 2013. For the full year, expenses were down 9.4 million to 73.7 million in 2014 compared to 83.1 million in 2013. 3.8 million of the reduction came in other real estate expenses, but the rest of it was credit across a number of categories. A number of these have been mentioned in the past as areas of opportunity, notably FDIC insurance, D&O insurance, and legal expenses, and also the core deposit intangible is now fully amortized and that expense is no longer a factor. Turning to the balance sheet, as Jim mentioned, loans grew 5.3% in 2014. In dollar terms, loans grew 58 million in total while nonperforming loans declined 12.7 million. Put another way, performing loans grew over 70 million during the year. This had a material impact on our net interest margin, as I mentioned earlier, as nonearning assets replaced with earning assets. Deposits were flat in 2014, but this was by design. As we’ve indicated previously, we’re very liquid and we can fund loan growth with sales and maturities in the investment portfolio as needed. Regulatory capital ratios at the Bank remain in good shape. Tier 1 leverage was at 12.02%, Tier 1 risk-based at 17.46%, and total risk-based at 18.72%. At the consolidated company level, Tier 1 leverage was 9.93%, Tier 1 risk-based 14.43%, total risk-based 17.67%, and the tangible common equity ratio was 7.12%. So that’s an overview of the financials. At this point, we’d be glad to open it up to questions, and I believe that operator can take those now.
Operator: At this time, we’ll be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Andrew Liesch with Sandler O'Neill. Please proceed with your question.
Andrew Liesch: Good morning, guys.
James L. Eccher: Good morning, Andrew.
J. Douglas Cheatham: Good morning, Andrew.
Andrew Liesch: Doug, can you talk a little bit more about the margin, like what drove the expansion this quarter? Was there any interest recoveries previously, I guess, reversed interest on some bad loans. And then where do you think it can go from here?
J. Douglas Cheatham: Well, on the first part of that, there really was nothing too unusual in the quarter, no real noise. We had a full quarter of interest on the CLOs that we purchased in the third quarter. We had more loan growth, as you saw, and further decline in the cost of funds. So, that has all helped out in the quarter. But there was no unusual noise there. As far as the second part of your question, I’m not really going to give guidance on where I think it’s going to go, but I think you can see the trends that we’ve experienced in the last three months.
Andrew Liesch: Got you. And then kind of curious how you’re looking at provisioning now with the negative provisions, I guess took three of them in 2014. At this same level here in the fourth quarter, I mean to get the reserve ratio down below 1.5 pretty quickly, so how are you looking at the reserve going forward?
J. Douglas Cheatham: We look at it on an accounting basis. I mean, we have not changed our methodology at all through the cycle. We’re pretty diligent about taking an objective view of what we have in the portfolio and the trends that we see. So it’s going to be fairly mechanical mathematic process. We’re not trying to position it up or down one way or the other. So, I can’t really give guidance. I think we’re seeing real good progress on unloading the nonperforming loans, so that will help. At the same time, we’re beginning to experience some decent loan growth, and so of course you have to take that into account and provisioning as well. So, I know that’s not a definitive answer, but I think we have competing trends there with declines and nonperforming loans that increases in performing loans. So I’m not going to give you a forward-looking statement there, but we’ll keep the same methodology that we have had and analyze it each quarter.
James L. Eccher: Yes, I think, Andrew, as you look at the trends, obviously the trend has been declining releases over the last 24 months and obviously with loan growth starting to pick up a little bit, we’re more than likely going to be growing into that number, but at the same point, we have to follow the accounting rules as Doug mentioned.
Andrew Liesch: Got you. That is helpful. Thank you so much. I’ll step back.
James L. Eccher: Thank you.
Operator: Our next question comes from Evan Pilsner with Trishield Capital. Please proceed with your question.
Evan Pilsner: Good morning, guys. How are you?
J. Douglas Cheatham: Good. How are you?
Evan Pilsner: Great. Thank you. So just a few quick things. First is, what is headcount at the end of the year, and how do you view that going forward in 2015?
J. Douglas Cheatham: We had a full time equivalent of 485 at the end of the year. That was down from 492 at the end of the prior year. That’s something that we try to manage carefully all the time. We did close a couple of branches last year, and we’ll be taking a close look at our operations this year.
Evan Pilsner: Okay. And then when I look at C&I loans, obviously big increase there year-over-year and also quarter-over-quarter. What is driving that because that seems to be in an especially bright spot?
James L. Eccher: Yes. Obviously, we’ve been putting the focus on that, Evan, over the last year or so, really trying to remix the loan portfolio, trying to be less dependent on commercial real estate and more on C&I, and we’ve been focusing our business development efforts in that area. There really weren’t any large transactions in the quarter. It really was really more of a granular situation. We had a lot of new accounts. I’d say 25% to 30% of that growth in the fourth quarter was new business, and 65% to 75% was really higher line utilization from existing or legacy clients.
Evan Pilsner: Got it. And then obviously, the TARP redemption was announced at the end of the year, but when I look at how that would affect capital levels today, how would those change?
J. Douglas Cheatham: The impact is not all that great. I think the impact on the leverage ratio is less than a point, and we were in good shape on that. Obviously, it doesn’t affect the tangible common equity ratio at all, because there’s no common involved with the transaction. So, bank level, we are funding that with the dividend from the bank to the holding company. The bank capital ratios are very strong, and the impact on the holding company level ratios is relatively minimal.
Evan Pilsner: I asked because it seems again like you just mentioned that the capital levels at the operating company are quite strong, and so we’re trying to figure out when we should expect the rest of the TARP to be called?
J. Douglas Cheatham: That’s a good thing to figure out. Obviously, we’d like to work our way out of that. We have to get regulatory approval, which we did get and would anticipate the next time we ask that they’ll agree again. So, we’re trying to pick the right time for that ourselves.
Evan Pilsner: And I’ve got a question on that. Is that a first half, second half, what are you thinking?
J. Douglas Cheatham: Yes, there’s a little lead time on that, because we have to get through the regulators. We’re just a week away from completing the first sort of installment on that. I’m not going to give you a quarter, but rest assured that it’s definitely a high priority on my radar.
James L. Eccher: And the other thing, Evan, we really need to balance that with our classified asset ratio. Obviously that’s something the regulators look closely at and moving that money from the bank to the holding company is going to have a – we’ll have a little bit of an uptick in the classified asset ratio next quarter, so we’re balancing that with obviously trying to clean up the balance sheet here.
J. Douglas Cheatham: Yes, that’s a real good point, Jim. Evan, you see the capital ratios at the bank and the holding company but the classified asset ratio, which utilizes Tier 1 capital in the calculation and it’s calculated at the bank level is really more of a trigger point for us in the short run here than the capital ratios themselves.
Evan Pilsner: Understood. Thank you guys very much.
J. Douglas Cheatham: Okay.
James L. Eccher: Thank you.
Operator: Our next question is from Brian Martin with FIG Partners. Please proceed with your question.
Brian Martin: Hi, guys.
J. Douglas Cheatham: Hi, Brian.
Brian Martin: Just wondering just back to that classified number, Doug, what does that number change with the redemption? What was the classified ratio using bank capital in this quarter versus what it looks like, I guess, with the capital redemption, how much of a change is there?
J. Douglas Cheatham: I don’t have an exact calculation on the change. The ratio ended the year at 28.1%, which was the first time it’s been under 30%. It’s been dropping every quarter just about and we’re real happy to have it under 30. The dividend from the bank to the holding company will increase that ratio, but of course at the same time we’re hoping that classified assets are lower. So by the end of the first quarter, it could be a wash [ph] in isolation. This probably adds the three points or so to that ratio.
Brian Martin: Okay. Have the regulators – I guess is there kind of a new bar as far as where it needs to be set to be below to kind of foresee with what you guys are expecting as far as up-streaming more capital and kind of gaining the rest of it and is kind of 30% a level you need to be below or is there no hard and fast rule, but it’s kind of a sense in your TARP where you need to maintain the classified level?
J. Douglas Cheatham: Well, it’s kind of like playing limbo. Every time it moves, the bar gets low and it doesn’t get raised back up. So under 30 is a good benchmark, under 25 is an even better one. We expect the positive trends to continue and so with a little more time, we’ll have room to redeem more of the TARP.
Brian Martin: Okay. And just to make sure, the four [ph] redemption, so the upstream from the bank and the parent this quarter was – does it match the amount of the redemption? Is that kind of what we’ll see when call reports come out?
J. Douglas Cheatham: We’re actually dividending a little bit more than that to bring some operating cash to the holding company.
Brian Martin: Okay, so nothing earmarked presently in the upstream for additional redemptions?
J. Douglas Cheatham: Right.
Brian Martin: Okay. Perfect. And then maybe just secondly on the margin, I know you don’t necessary give guidance but can you just talk about what’s the positive influence, is the negative influence, just kind of directionally what’s – at least kind of help me sort through what the margin looks like perceptively? I mean you had some pretty big jumps here the last two quarters, so I’m just trying to understand what the positive influences could be versus the negative and kind of what you’re thinking about?
J. Douglas Cheatham: Sure. A lot of it is mix because, as I mentioned, the decline in nonperforming loans almost masks how good loan growth was because we’re replacing not only runoff but also adding to the portfolio. So loan growth definitely is a positive. Also, recall that we purchased over 90 million in CLOs in the third quarter, so we have a full quarter of earnings on that investment, so that helps as well. We had continued sort of slippage in the cost of funds when we don’t need to grow deposits to fund the loan growth, we don’t have to overpay for deposits, so that has continued to slide a little bit to our benefit.
James L. Eccher: Yes, Brian, I think that’s a pretty important part too. I mean because we’re so liquid, we’ve really tried to be methodical about changing the mix on the deposit side as well. Our CD portfolio was down about 8.5% year-over-year and a lot of that was higher costs type CDs. And then our noninterest-bearing deposit checking was up over 7% for the year. So that’s a pretty positive mix change and I think because we’re so liquid, it’s afford us the opportunity to do that.
J. Douglas Cheatham: And in terms of going forward, when and if interest rates rise, we’re in position where that won’t hurt in fact more likely than not to help us a bit.
Brian Martin: What is the GAAP sensitivity, Doug? I mean for a 100 basis point rate increase, what’s the NNI do?
J. Douglas Cheatham: I would say we’re a slight positive, but I can’t give you an exact number on that.
Brian Martin: Okay. All right, I think that takes care of all my questions except for maybe just one on the expense front and just kind of separating out, let’s say, the credit related cost versus just kind of the core expenses. In the outlook, the core expenses, is it pretty flat as you look at 2015 with some – there’s still some lumpiness in the credit cost. Is that, I guess, maybe a downward trend on credit cost if it’s still lumpy, but the core expenses ex those credit cost are pretty flattish or maybe up incrementally?
J. Douglas Cheatham: Well, I think we’ve been running fairly flat if you set aside OREO-related expenses, we’ve been running fairly flat on non-OREO, noninterest expense in and around the 16 million kind of range. That’s something that we’re looking at closely especially with some little bit of a disappointment on the noninterest income side. So there maybe some progress we can make there.
Brian Martin: Okay. All right, that’s helpful. I appreciate the color. Thanks, guys.
J. Douglas Cheatham: All right. Thanks, Brian.
Operator: Our next question is from Chris McGratty with KBW. Please proceed with your question.
Christopher McGratty: Good morning, everybody.
J. Douglas Cheatham: Hi, Chris.
James L. Eccher: Hi, Chris.
Christopher McGratty: Doug, on the earning asset remix that’s going on, without giving too much specific into the guidance, is there any way to think about the balance sheet as a whole just cash flow and security book going into what seemingly is improved loan growth and kind of running assets to kind of stay around the 1.8 billion level, or do we see growth in earning assets this year?
J. Douglas Cheatham: We’ve approached it over the last year or so from the standpoint that we would keep assets fairly flat and remix the asset. I think with strong capital ratios there may be some room for net growth in the future, but we’ll have to kind of take that one quarter at a time. With the liquidity position we have, we’re actually in a pretty good spot to be flexible on that.
Christopher McGratty: Okay. That’s helpful. And kind of piggybacking on the expense question that was just asked, as you kind of look out in the next 12 or 24 months, your efficiency rate is obviously still not where it needs to be. Is there anything more immediately you guys may be considering that maybe analysts and investors not necessary considering in terms of trying to bring that ratio efficiency down a little bit quicker?
J. Douglas Cheatham: As I mentioned to Brian, I think there’s some more progress we can make on that front and we’re definitely going to be taking a close look at our operation and seeing if we can make it more efficient. And as we’ve done in the past, everything is on the table. We have closed a couple of branches in the past, don’t know what will happen exactly in the future but everything will be evaluated.
Christopher McGratty: Great. And last one is the tax rate, can you help me on a decent rate going forward effectively?
J. Douglas Cheatham: Yes, Illinois just had a reduction in the state income tax rate from 9.5 to 7.75, so we’ll have the benefit of a lower tax rate in Illinois although it’s not a low tax state, it will be lower going forward. The effective rate has been running in that mid-30s range. That may come down a little bit, but because we have the – we need to capture that deferred tax asset, which we are, but you need to generate taxable income not nontaxable income in order to capture that benefit. So I would anticipate that would come down a little bit from what you were seeing but not by a lot.
Christopher McGratty: Okay, very helpful. Thank you.
Operator: [Operator Instructions]. It appears there are no further questions at this time. At this point, I’d like to turn the floor back over to management for closing remarks.
J. Douglas Cheatham: Okay. Thank you everyone for joining us this morning. We look forward to speaking with you again next quarter. Good-bye.
James L. Eccher: Thank you.
Operator: This concludes today’s conference. Thank you for your participation. You may disconnect your lines at this time.